Operator: Greetings. Welcome to Lowell Farms Fourth Quarter and Year-End 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to Bill Mitoulas, Investor Relations. Thank you. You may begin.
Bill Mitoulas: Good afternoon, and welcome to the conference call to discuss Lowell Farms Inc.'s financial results for the fiscal fourth quarter of 2021. Before we begin, please let me remind you that during the course of this conference call, Lowell Farms Inc. management may make forward-looking statements. These forward-looking statements are based on current expectations that are subject to risks and uncertainties that may cause actual results to differ materially from expectations. These risks are outlined in the Risk Factors section of our Form 10 filed on EDGAR and our listing statement filed on SEDAR. Any forward-looking statements should be considered in light of these factors. Please also note that any outlook we present is as of today, and management does not undertake any obligation to revise any forward-looking statements in the future. This call includes George Allen, Chairman of the Board; Mark Ainsworth, Co-Founder and Chief Executive Officer; as well as Chief Financial Officer, Brian Shure, will go into detail about the Company's financial results for the quarter later in the call. A Q&A portion of this call will be open to analyst questions to provide further insight for the Company's performance, operations and go-forward strategy. For those of you who may happen to leave our call before its conclusion, please be advised that this conference call will be recorded and archived on our Investor Relations website page. And now I will hand the call over to George. George, please go ahead.
George Allen: Good afternoon. I want to briefly start the call by recapping where we have come over the last 12 months. We started the year with a modest position in California dispensary shelf-space and a greenhouse that was struggling to recover from damaged caused by the prior summer's wildfires. We pledged to investors that we would fix the greenhouse and offer monthly updates to give transparency into this objective. To compound the importance of that pledge, we acquired the Lowell brand during the first quarter. The acquisition was built around a turnaround strategy for that brand that was entirely based on improving the quality of input material into that branded products. Nine months later in the four quarter, Lowell Farms became the best selling flower company in all of California according to Headset. We have doubled sales on our Lowell Herb brand and restored it to a top 10 brand in the state from barely being in the top 30 the year prior. What is even more impressive is that our House Weed brand has grown even faster. Our cultivation team quickly went from improving harvest yields to serving up new and differentiated genetics. Now I'm pleased to report that according to Headset, we have extended and even expanded the lead through the first month of the year. Now there are over a thousand companies trying to sell cannabis products in California. CPG manufacturers, outnumber retailers in California, a totally upside down market structure from traditional CPG. This is why the keystone or markup in California retail is substantially higher than in any other market. Dispensaries have enormous leverage over the vendors. Against this backdrop, over the course of the year, we rose from being the number 16 largest cannabis portfolio to being the number eight. Unfortunately, our success has been in the face of a stiffening headwind. Cannabis sales have contracted for the second sequential quarter in a row in California, and the industry is going through a severe rationalization. With the exception of retail, there is oversupply in nearly all stages of the value chain. Over the past two quarters, we have watched this market share has slowly begun to favor the larger more stable operators who can offer consistent supply. Now, this obviously favors Lowell and we are growing share in nearly all of our categories, but there is a larger battle at play, which is the overall health of retail in California. If cannabis prices have fallen, the price advantage held by the black market has been compounded, shifting more and more sales away from the legal market. This dynamic is driven by the inherent fixed costs and taxes borne by the legal market in California. Without those cost burdens, the illicit market has been swamped by inexpensive material, specifically in the flower and concentrate categories, driven by oversupply and cultivation. Without policy change in Sacramento, it is entirely possible that Lowell and its peers are left fighting forever declining pieces of pie. The incoming increases of cultivation supply promise only to exacerbate the issue. Thankfully, it does appear that policymakers are paying attention and we are optimistic for some level of relief although it's too soon to quantify. CPG scale is inherently not about capacity. It's about execution. We have ample flower capacity to double our market share in packaged flower sales. But the constraining factor is demand. We can make millions of gummies to satisfy nearly all the demand in the state, but demand creation takes time in a sales and distribution network. Anyone who presumes to enter California by merely multiplying market price by capacity is going to be disappointed with a lot of unused capacity. Our machinery that we have built only works in tandem with people and the networks that we have to distribute our products. I fully expect us to continue to lead us higher into the lead tables as the year progresses. Now, I'm also proud of our launch at LFS. It was a new business model that we built to service the California cannabis growing community. California cannabis is made great by competition from thousands of growers and we want to support that diversity. LFS allows growers to more closely compete with the economies of scale of the largest facilities in the country by variablizing costs that were traditionally fixed, thereby allowing them to compete on quality without a severe disadvantage on price. This has not made us very popular with a small handful of large operators who are hoping to reduce California to a limited licensed marketplace with like 15 really cool strains, and that's it. We agree to disagree. So who is Lowell Farms and where are we going? Instead of achieving our profitability targets during the year, we were substantially behind and we consume more liquidity than a sustainable. Our path to profitability cannot solely rely on hoping for a return to normalized bulk flower prices. Our future requires a combination of increased efficiency and greater scale. The infrastructure that we have is expensive and the linchpin of profitability for us is about capacity utilization. We have launched two new flower brands in the last 12 months, and we've continued to launch new products on a cost effective basis. We have also taken substantial steps to reduce expenses, increase automation and reduce waste. We also need to increase our out-of-state licensing footprint to capitalize on the vitality of our brands, and we expect to have a handful of new markets identified in the first half of this year. California market is ripe with consolidation opportunities, and we believe that Lowell is the right platform for CPG consolidation. The success we had in restoring the Lowell brand provides a template for doing it again. We see several compelling brands struggling to achieve the requisite scale to be independent and we are actively in discussions with several of them. As to our liquidity, we consumed substantially more cash during the quarter than was anticipated. While some of this cash consumption came in the form of increased receivables generated by our LFS business, the operational burn of the business suffered from continued decline in the price of bulk flower. We ended the quarter with $7.9 million in cash. The combination of organic growth in CPG combined with a very dramatic series of cost action, we have a plan to get the cash flow neutrality by the end of the quarter. We are also pursuing contingency alternatives, including non-dilutive sources of financing as well as the divestiture of non-core assets. With that, I'm going to turn it over to Mark. Mark?
Mark Ainsworth: Thank you, George, and good afternoon. While the businesses overall financial performance was not immune to the California cannabis headwinds, we are pleased with the progress our team has made on many of our KPIs. I will speak briefly about the health of our businesses, CPG, bulk product sales, LFS and licensing. I will also briefly discuss our outlook for the first quarter. Starting with CPG, revenues from CPG were down 9% during the quarter led by declines in packaged flower and concentrates. We experienced a system-wide slowdown and retail traffic combined with an effort among several of our customers to reduce inventory volumes, to avoid larger year-end inventory tax. The product and operation teams launched 21 new products in Q4 of which 19 were permanent SKUs and two were seasonal holiday SKUs. This resulted in an increase of approximately 75% on our median drop value taking us from 1,952 in Q4 2020 to 3,426 in Q4 2021, telling us that our brands and products are in demand by consumers and dispensaries know the value and traffic they drive. This shows that dispensaries are increasing their spend, which validates our decision to increase product offerings. This January, we continue to see improvement with approximate 10% increase in median drop value. At the end of the third quarter 2021, we began to restructure the sales team directly under the leadership of our COO. By realigning the sales, we now have dedicated key account support, and we also expanded the territories for our key account managers. Since the restructure, the sales team has shown positive trends with opening 51 new accounts. Within CPG, our packaged flower sales decreased 5% in the period and our pre-rolls increased by 2%, both outpacing broader industry performance according to Headset. Vapes were flat during the quarter, while edible slipped 19%. The majority of the contraction during the quarter came from the concentrate sales, which were down 38% during the quarter, as we relaunched our marquis concentrate brand Kaizen in the middle of the quarter. While we continue to hold relatively high market share and concentrates, we are seeing enormous pricing pressure in this category in particular. Moving to bulk products. Our biggest headwind in the California market was the near evaporation of the bulk market channel. Our team quickly jumped to rebuild our go-to-market strategy and work hard to identify a larger customer base of smaller transaction buyers and several brokerage partnerships. We also opened a showroom in our Los Angeles licensed distribution facility to help expedite the showing of material to buyers. While Q4 bulk sales were $2.6 million during the quarter up from $2 million in the prior quarter, reflecting a decrease in both price and volume during the quarter. We currently believe that the market has bottomed from December lows. We haven't seen the recovery in prices that we are expecting this quarter, given the seasonal differences in supply. Our newest business unit, Lowell Farm Services or LFS, saw the busiest quarter on record with $3.1 million in revenue by in-taking and drying approximately 315,000 of wet weight biomass. The net result of that intake of wet weight biomass was approximately 14,800 pounds of finished trimmed product. The team focused hard on optimizing the intake, drying, bucking and trimming processes, and we left Q4 having reduced costs through automation and several of the labor intensive key functions. We continue to refine the model at LFS as we attempt to shift our client base from outdoor cultivators to year round client list of greenhouse operators. Lastly, in our out-of-state licensing, we were happy with the organic growth this quarter, but we have been slower to launch Michigan due to delays in getting our product approved by regulators. We expect to launch this spring in Michigan and anticipate to add additional markets this summer. During the quarter, licensing royalties grew by 92% and a run rate for December GMV grew by 37% sequentially over September to $15 million. Finally, I wanted to comment on actions we have taken in Q1 to rapidly move towards positive cash flow and profitability. In January, we reduced our full-time employee headcount by 15%, and significantly reduced our seasonal workforce. While this was a very difficult decision, we remain committed to preserving long-term shareholder value. With that, I will turn it over to Brian.
Brian Shure: Thank you, Mark, and good afternoon, everyone. Before I begin, please note that we are reporting our Q4 and 2021 full-year results in U.S. GAAP. And a portion of my commentary will be on a non-GAAP basis. So please refer to today's earnings release for a full reconciliation of GAAP to non-GAAP results. We report all figures in U.S. dollars unless otherwise indicated. I would also note that these results are unaudited. Our annual report on Form 10-K will be filed with the SEC and CSC later this month. We reported Q4 revenue of $15.1 million, up 21% sequentially and 65% year-over-year. Revenue in the quarter was favorably impacted by revenue of $3.2 million associated with Lowell Farm Services, a $2.4 million sequential increase and bulk product sales of $2.6 million, a $0.6 million increase or 30% over the third quarter. However, average bulk product pricing declined 38% in the quarter compared to Q3 adversely impacting bulk product sales by $1.6 million had Q3 pricing held in Q4. We believe bulk flower pricing bottomed out in December, and we have experienced some modest pricing increases in the new year. In Q4, out-of-state licensing revenue grew by 80% to $1.1 million, which includes both earned royalties and the sale of branded packaging. As Mark mentioned, CPG product sales declined 9% sequentially due primarily to a delay in relaunching our Kaizen concentrate brand and softer edible sale. Additionally, flower sales contracted 5% during the quarter. For the year, revenue was $53.7 million compared to $42.6 million, an increase of 26% reflecting the impact from the Lowell Farms brand during the year. Lowell brand revenue was $17.6 million since our acquisition in March of 2021. I should also note that revenues for the year were impacted by the decision to significantly reduce lower margin, third-party agency and distributed brand sales and focus primarily on higher margin owned brand product. Agency and distributed brands declined $8 million to $2.7 million or 75% year-over-year. As we look forward to Q1, we are anticipating growth in CPG offset by declines in LFS and bulk sale. The LFS decline reflects the seasonal nature of that business that there will be minimal outdoor harvest activity during the quarter. The decline in bulk sales is related to increased usage of our flower into CPG in anticipation of elevated sales for the 4/20 holiday. Looking further out, we anticipate generating positive adjusted EBITDA growing out of the second quarter and growing meaningfully in the second half of 2022. Turning to gross margin. Gross margin as reported was negative 12% in the fourth quarter compared to 1% sequentially and 2% year-over-year. The margin decline over the third quarter this year and fourth quarter last year was due primarily to bulk sales and $2.8 million in inventory-related net realizable value charges, reflecting lower cannabis market pricing in the period. The margin decline year-over-year was offset somewhat by an increase in margin from higher profit owned brand sales primarily the Lowell brand. We expect to continue to see market compression in the bulk flower market when compared to the prior year. But as noted earlier in 2022, we have begun to see modest price increases from December 2021 levels and are not anticipating further net realizable value adjustment. Operating expenses were $6.3 million or 42% of sales for the quarter compared to $7.0 million or 56% of sales in Q3 and $4.9 million or 54% of sales in the fourth quarter last year. Impacted primarily by the lower gross profit, the operating loss in the fourth quarter was $8.2 million compared to an operating loss of $7.0 million sequentially in an operating loss of $4.7 million year-over-year. The 2021 full-year operating loss was $21.3 million compared to $15.8 million in 2020. Net loss for the fourth quarter was $10 million compared sequentially to a net loss of $8.7 million, which compares to a net loss of $4.1 million in the fourth quarter last year. Adjusted EBITDA in the fourth quarter was negative $3.6 million compared sequentially to adjusted EBITDA of negative $5.2 million and negative adjusted EBITDA of $1.6 million year-over-year. Turning to the balance sheet. Working capital was $21.3 million at the end of the fourth quarter compared to $30.9 million at the end of the third quarter. And the company had $7.9 million in cash compared to $17 million at the beginning of the quarter. Capital expenditures of $1 million were incurred in the fourth quarter, including investments on automation equipment and Lowell Farm Services infrastructure. With that, I'll turn the call back to Mark. Mark?
Mark Ainsworth: Thank you, Brian. I am incredibly thankful for the team's passion to execute at the best of their abilities. I am also thankful for our investors who quarter-after-quarter continue to double down on their support. I look forward to sharing more with you as we continue to solidify our positioning within the California market and beyond. Thank you. And with that, I will turn it back to the operator.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Doug Cooper with Beacon Securities. Please proceed.
Doug Cooper: Hi. Good afternoon, everybody. Just wondering there's a lot of numbers that I just wanted to make sure, I got them all. So I think Mark, you said bulk pricing was down 39% from Q3. Is that what you said?
Brian Shure: Hi. This is Brian. It's down 38%. Yes, Doug.
Doug Cooper: Okay. And if I recall, this was an issue in Q3 as well. So it was down – like, how much was it down versus Q2 and Q4 – Q4 versus Q2 just as a point of reference?
George Allen: Doug, we'll get you the number, but it's over 50% in Q4.
Doug Cooper: Okay. The gross margin, can you – the $1.1 million of the – essentially royalty revenue, I mean, there's some packaging I guess, in that, but I'm assuming this is pretty high margin stuff. So excluding that, the gross margin obviously looks little bit even worse. So I know this is a high operating leverage business, but if I look back on Q3, just for instance, when you did $15 million in revenue, you did a 43% gross margin now, similar revenue number, and you got a negative gross margin. Is this all to do with the bulk pricing or is there something else that…
George Allen: So it's a couple of things. First of all, it's not fair to say that all the $1.1 million in licensing is all margins. The royalty revenues in licensing is all margins, but the packaging there is almost all one for one. So there's more margins…
Doug Cooper: Like 50-50 split gentlemen?
George Allen: Yes. It's about right. And I'll get you the exact numbers. I don't have it on top of my head, but I think your point is still a very valid one. Yes, so what happened was in general, you've seen not only bulk prices compressed, but you've seen pricing pressure sort of across the categories. The most obvious of which is packaged flower, but we've also seen it in concentrate as we allude to in the call. And we've been working really hard to rationalize cost to bring down our unit cost. But that's obviously been something we've been sort of chasing an active market. And so I’d generally say, yes. We think we've got room for significant margin improvement this quarter based on higher volume because it's all about capacity utilization. But as it stands now, your point is well taken. The pricing pressure exists, not only across bulk, but across the balance of business as well. We did heard price on our Lowell champion brands. We did whole pricing. We helped pretty well, but we also captured some incremental dollar volume by competing in some of the lower end categories.
Doug Cooper: Just curious then to say the difference between, say California and Massachusetts or Illinois, where you have the license, you have the – you're selling the low brand there under license. What is the difference in pricing for the similar SKU?
George Allen: So I think in Illinois, I think our retail price is, I want to say its $65. I got to get back on that Doug. One of the things that you get, and I mentioned this in a call, one of the things you have in Massachusetts, and you have in Illinois, you have a much more traditional keystone markup traditionally around 2x at retail. California is sort of gravitated to something closer to 2.5x markup. So the more of the value is captured by – more of the end price value is captured by retail versus goes to the wholesale. And so that you have competing factors there, not only are you getting a higher price point in those markets, but you're also getting a greater portion of retail sales.
Doug Cooper: Of the retail price, right. Period end of cash December, 7.9. What is it today?
George Allen: We're not disclosing where we are today. As we said, the guidance we gave on cash is that by the end of the quarter, we are expecting to be close to cash flow breakeven – cash flow breakeven or close to it.
Doug Cooper: For that month, you know what I mean? Or for the quarter – presumably still be cash flow negative for the quarter?
George Allen: As we get to the sort of that run rate, right. So we've been reducing expenses throughout the pace of this quarter. And we believe that we have a plan to get the cash flow neutrality by the end of the quarter.
Doug Cooper: You're talking the quarter being March, right?
George Allen: March.
Doug Cooper: Yes. When you indicated that you could be selling some assets, call it, non-strategic assets now. What were those – what kind of assets would those be?
George Allen: Well, so we've seen a fair amount, obviously from our standpoint, we're watching market conditions and the lack of liquidity and depth of market right now, something that we follow. So just making sure that we're aware of our options, we've actually gotten inbound interest for a couple of our different assets, including infrastructure and licenses that we have. So for example, facilities and license that we have in Southern California for distribution, as well as our overall distribution capability is something that's attracted some interest. So we feel pretty comfortable that we don't have to take those measures now because we like the strategic functionality that gives us, but it's a good safety net to have in our back pocket.
Doug Cooper: Right. The bulk of the costs I'm assuming, is it still associated with the greenhouse. And if the LFS business is sort of the way to go, maybe in California, would you consider selling the greenhouse? 
George Allen: Yes. We've definitely had interest in the greenhouse for sure. It's one of the best performing greenhouses in the entire country in terms of yield per square foot and cost metrics. So I feel really good about that. It's far more technologically advanced than the vast majority of greenhouses in the state, especially those in the surrounding areas in Monterey County. And in terms of how the tax structure works in Monterey, there's a lot more margin and higher yield per square foot greenhouses. And so it's certainly something that we've thought about. I would generally say that while I believe we've got a lot of liquidity and depth of market in terms of cultivation for the foreseeable future, the Florida market – I'm sorry, the California market, it's got such volatility in terms of how flower price has priced in the past. While I don't see is being likely right now, it's simply too difficult to run a business on the CPG side, if you have severe volatility on the input cost side, such that the safety net that we get from having a steady stream of our own supply right now until the market matures and the volatility decreases, I think it's an unlikely decision. There are a few people out there who are sort of shopping sort of long-term supply agreement that we've seen. I would say there's the prospect that we could replace our cultivation with something like that. But that's way down the road. And I don't think right now something we're contemplating.
Doug Cooper: Okay. You've shied away from say, lease backs in the past, is that – maybe on your greenhouse asset, is that still something you're not likely to see?
George Allen: Yes. It's important to note that our greenhouse is – it is a leased asset, so we already do leased assets. It's a below – we believe it's a below market lease. We do have equity in our process – our large third-party processing facility. And that's definitely something we've looked at. And I probably should have mentioned before as an alternative.
Doug Cooper: Okay. Let me leave it there, and I'll circle back. Thanks.
Operator: Our next question is from Jason Zandberg with PI Financial. Please Proceed.
Jason Zandberg: Yes. Thanks for the questions. Just wanted to – in terms of what your growth outlook is on that licensing side, you mentioned that, Michigan is probably not going to be realizing any sales until – we're licensing until Q – or later in this year. Are you still on growth path on the states that you are licensing? Is packaging sales that's embedded in that expected to stay on par in quarter just in terms of that licensing growth would be helpful?
George Allen: Yes. So I think it's a great question. I think there's still latent potential for growth there. It's really about whether or not we get the amount of supply out of our partner that we're looking for. We've been supply constraints specifically in Illinois. In Massachusetts, I think we have more room for growth there in terms of developing more baseline revenues. But I'd say the step function that we're going to get – and we did – we obviously enjoyed a lot of growth this quarter. As I said, we went from $11 million, I think, roughly $11 million of annualized GMV at the end of last quarter to over $15 million this quarter. So I feel – obviously that's impressive growth, and I think we could – it's hard to imagine that just stops there. But I think that the flip side of that is our partner to send – they don't have infinite supply in terms of flower capacity. And so that's something we're negotiating with them and working through with them. In terms of the packaging, I think it is fair to say that there are episodic purchases of packaging that our partner makes and passes through that number. I can't say for sure whether or not that's going to lead to the same larger or smaller number this quarter. We simply haven't worked through that yet. But I think in general, our expectation is that we've got a little bit of organic growth on the royalty side and probably the same on packaging.
Jason Zandberg: Okay. That's great insight. In terms of your Farm Services seasonality, you mentioned that which would be expected that there would be some seasonality in that business. Any guidance that you'd be prepared to share in terms of what you expect for Q1? I recognize that you're not going to have a large harvest – outdoor harvest that comes online in Q1, you may have some indoor clients, but just sort of – any sort of guidance in terms of what to expect and how…
George Allen: Yes. Good question. Yes, we'll probably see this quarter relatively material contraction on LFS revenue. What I'll say is that that business we obviously had, what was I thought a phenomenal fourth quarter and really gives us a fair amount of trajectory. The real advantage of that fourth quarter is that we process 14,000 pounds of inventory or potential inventory that we can use into lower price retail sale products for the balance of the year or at least for the next two quarters. Where we see LFS going is, obviously we took in revenues that we could get immediately from processing outdoor flower in the fourth quarter. We think that the long-term trajectory there is to get more greenhouse clients. We do have some greenhouse clients, and we had a fair amount in the fourth quarter as well. There's some regulatory drivers that may get attractive for us to be in that business with greenhouse clients. The pipeline build there is developing. So it's going to take us a little bit of time to ramp up that business. And of course, there are seasonal peaks both in the second quarter and the fourth quarter with outdoor harvest. So from our standpoint, we've also built a business not only just doing drying and trimming, but we also just do trimming for third-party clients. And that business, we’ve gotten a more healthy stream this quarter. And so I think net-net will be a pretty material decline this quarter in sequential revenues for that category with more revenue growth sort of throughout the year and we expect it to be a strong performer this year.
Jason Zandberg: Sure. Okay. That's great insight and guidance on that. And then just last question, and I hate to make you repeat yourself. I was seriously writing down notes and missed, you said positive EBITDA exiting which quarter this year? Was that Q1, Q2, Q3? I didn't catch the quarter.
George Allen: Yes. Brian, can you give clarity there?
Brian Shure: It was Q2, as we exit Q2.
Jason Zandberg: Okay. That's perfect. Thanks very much.
Operator: Our next question is from Jon DeCourcey with Viridian Capital Advisors. Please proceed.
Jonathan DeCourcey: Hey guys. Thanks for taking the call. Appreciate it. A lot of questions already been answered. So just a couple kind of bigger picture ones for me. So with the pricing already haven't come down so far, the demand down in the fourth quarter in California on sales and obviously a lot of product coming online from competitor this year, what brings pricing back and what helps pricing out beyond state legislation in California?
George Allen: Well, it's a great question. I think generally you're starting to see strength right now in pricing and starting to return to – I wouldn't say we're back nearly where we were this time last year. But we've definitely seen a return in some pricing. And that usually is driven just by seasonality yields, yield levels drop this part of the year in greenhouses and most of the outdoor flowers sort of digested through the system. I think what longer term, I think, we're not building a business around a price deck that is much more aggressive than it is now. We're building and rationalizing to a price deck right now that is cultivation input materials at or above sort of the marginal cost of mix like growers. So I wouldn't say that we're counting on or building a lot sort of secular growth in bulk prices. Anecdotally, there has been a fair amount of attrition. We've heard about large footprint in Santa Barbara, that just went under and we've heard a fair amount of greenhouse capacity in Monterey that has mothballed. I think you've seen a fair amount of attrition in the marketplace. I don't know is my first sort of cycle and seeing how fast capacity turns off. I would generally say from spending out a lot of time around growers, this is not just a marginal cost decision for growers. I think a lot of cases, they are farmers by nature and optimistic by nature. And so I think the usual sort of signaling that goes on price signaling, that goes on in a commodity here is probably – I'm less convinced it's going to be as efficient in terms of capacity going offline, which is probably why you don't see us adding mix like capacity aggressively right now. But I think a lot of people would take the counter side to that argument and suggest that we are seeing a fair amount of attrition in supply.
Jonathan DeCourcey: Okay. Now as a follow-up on that, I'm reading about local level regulations changing and some tax breaks coming including even in Monterey. Can you kind of touch on what's the viability of that and kind of what the impact will be for you guys?
George Allen: Yes. So we did get a tax reduction in Monterey, which I think was helpful. We also got – so we got a cultivation tax reduction in Monterey and it was probably worth – it was worth about a $0.25 million a year to us. It's a decent drop off. And I think a lot of growers sort of point to local cultivation tax as an easy target to get reduction in. And Monterey is a county that's very progressive and wants to really be committed to cultivation, and so they've dropped their canopy tax in the county. I think more broadly we're actively in discussions with our city about dropping our manufacturing tax. I think a lot of respects where we are right now in terms of cannabis and policy. Legislators have decided that cannabis is a job creator and not a sort of a – not public enemy number one. And so they're going from trying to really monetize cannabis in terms of tax policy to actually trying to harvest and attract cannabis. And what you're going to see, I think in the next six to 12 months is a fair amount of municipal competition is to who's going to attract business over time. And that's certainly something that we're paying close attention to and interested in. More broadly, the biggest sets of relief though is going to come from what we see in terms of cultivation tax and excise tax relief in Sacramento, both of which are sort of proposed and have a handful of bills that have proposed to either postpone or eliminate them all together.
Jonathan DeCourcey: Okay. That's interesting. And so now just two last questions for you both on kind of the M&A environment. You talked about looking for more brands out there and adding that to the portfolio. What's the market for kind of brands that can be meaningful contributors help really kind of change the pricing dynamics, but yet still are obviously pretty small given that, you only have the $8 million in cash, probably some burn in the first quarter. And I can't imagine you want to give up a lot of equity at this point. Are there – what's kind of the market for players out there that could fit in that sweet spot?
George Allen: Well, I think a lot of respects you've got assets that have embedded brand equity, but not a lot of prospects because there is a bit of a capital strike going on for California cannabis. And we'll see where that sort of shakes out in terms of valuation for those types of assets. I would say, there's not a lot of great options right now. And the reality is there's also not a lot of great acquirers for them. For example, if you don't own your own distribution and you use like a third-party distributor, like herbal, you're going to have to go and get permission from herbal to add a new brand or product to your portfolio and to get conviction from them that they can move that through their channel. For us, we're one of the few operators that own their own distribution and sales infrastructure. So it's a much easier conversation for us to have internally about our ability to move volume in a product, a lot of brands that are either self distributed or have a less than ideal distribution footprint or partner. They're under distributed in the states, so available in dispensary. So what we'll look for in brands like that are brands that have high shelf velocity in the stores that they're in, but don't necessarily have the breadth of market coverage that they need to get where they want to go, and they can't find that elsewhere.
Jonathan DeCourcey: Okay. And then kind of as a different take on the M&A environment, it seems like it's getting closer to the time where MSOs will be looking to enter the market, and you guys certainly seem like it'd be a nice partnership candidate for somebody kind of what are your thoughts on that partnering with a larger entity and additionally kind of your thoughts on kind of the hindrances or challenges to an MSO getting into California?
George Allen: Well, I think you've got three MSOs that are in California right now, materially, and they sort of have in terms of CPG brand footprint. They haven't really been all together all that successful. I think the best portfolio out there is that it ranks them 12 or 13 and then beyond that, it's sort of way down the lead tables. And so I think that there is a chance that MSOs who want to come into the state or expand in the state to get critical mass, they're going to look to acquire brand portfolios. And we've certainly had those conversations. I think is from what I can tell the MSOs seem very keen on retail footprint and back filling with verticalization to populate that retail footprint. And that's something we've seen – had a fair amount of conversation with those MSOs about. I think it's certainly something that's out there. We're always having various conversations. From my standpoint, I think, is at the right price and the right valuation, we're certainly willing to partner with somebody, but for the most part, we're committed to sort of winning the CPG war in the best market in the country.
Jonathan DeCourcey: Okay. That makes sense. I'll jump back in the queue. Thanks so much for answering the question.
George Allen: Thank you.
Operator: Thank you. This is all the questions we have for today. I would like to turn the conference back over to Mark for closing remarks.
Mark Ainsworth: Thank you, again, for joining the call and for taking the time to get an update on our business. We look forward to talking with you on the next earnings call.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time and thank you for your participation.